Operator: Good morning. My name is Matthew and I will be your conference operator today. At this time, I’d like to welcome everyone to the Community Health System First Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator instructions) Thank you. Vice President of Investor Relations, Lizbeth Schuler, you may begin your conference.
Lizbeth R. Schuler: Thank you, Matthew. Good morning and welcome to Community Health Systems first quarter 2012 conference call. Before we begin the call, I would like to read the following disclosure statement. This presentation may contain certain forward-looking statements provided by Company management. These statements are intended to be covered by the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include all statements that do not relate solely to historical or current facts, including statements regarding future operations, financial results, cash flows, cost and cost management initiatives, and can also be identified by the use of words like may, believe, think, will, would, should, expect, project, target, estimate, guidance, anticipate, intend, plan, initiative, continue or words and phrases of similar meanings. These forward-looking statements speak only as of the date hereof and are based on our current plans and expectations and are subject to a number of known and unknown uncertainties and risks, many of which are beyond our control. These risks and uncertainties are described in heading such as Risk Factors in our Annual Report on Form 10-K and other reports filed with the Securities and Exchange Commission. As a consequence, current plans, anticipated actions, and future financial positions and results of operations may differ significantly from those expressed in any forward-looking statements in today’s presentation. You are cautioned not to rely unduly on such forward-looking statements when evaluating the information presented, and we do not have any obligation to and do not intent to update any of these forward-looking statements. The presentation also contains certain non-GAAP financial measures. This presentation and the Company’s earnings releases for the first quarter of 2012 located on the Company’s Investor Relations page at www.chs.net include a reconciliation of the difference between certain non-GAAP financial measures with the most directly comparable financial measures calculated in accordance with GAAP. These non-GAAP financial measures should not be considered as an alternative to the GAAP financial measures. References to the Company or Community Health Systems used herein refer to Community Health Systems, Inc. and its affiliate unless otherwise stated or indicated by context. With that said, I would like to turn the call over to Mr. Wayne Smith, Chairman, President and Chief Executive Officer. Mr. Smith?
Wayne T. Smith: Thanks, Lib. Good morning, and thank you for joining Community Health Systems quarterly conference call. Larry Cash, our Executive Vice President and Chief Financial officer is also on the call with me. The purpose of this call is to review our financial and operating results for the first quarter ended March 31, 2012. We issued a press release and an 8-K after the market closed yesterday that included our financial statements. A slide presentation accompanies our prepared remarks for those of you listening to the live broadcast of this conference call on our website. I’d like to begin the call with some comments about our quarterly results and then turn the call over to Larry, who will follow with additional details of our financial results. We are very pleased with our consistent financial and operating results for the first quarter ended March of 31, 2012. First, our same-store admissions were down 2.3% for the quarter, better than forecasted when we present our fourth quarter results in February. Net revenue for the first quarter increased 11.6%, $3.3 billion versus $3 billion in 2011. Reported adjusted EBITDA for the first quarter of 2012 was $535 million, an increase of 17.2%. EBITDA was affected by several one-time adjustments, we recorded approximately $71.8 million for the industry-wide budget neutrality agreements settling the SSI adjustment update implemented by CMS. EBITDA was also affected by $14 million reserve established for certain specific legal matters, income from continuing operations, including loss on the early extinguishment of debt was $0.85 per share diluted. Adding back the loss from the extinguishment of debt of $0.44 including favorable one time adjustments of $0.38, our EPS for the quarter would have been $0.91. With that, I’d like to review some key operating accomplishments for the quarter. The company recruited 423 new physicians during the first quarter 2012 compared to 281 for the same period in 2011. In addition, we added 44 midlevels during the quarter. Physician recruiting remains a key component of our operating strategy. Adding new physicians improves not only quality, but also the available of services provided in our communities. As we discussed last quarter, we purchased the assets of Moses Taylor Health Systems Scranton, Pennsylvania, a two hospital system on January 1, 2012. Trailing revenue for this acquisition was $200 million with a lower single-digit margin and the price was approximately $150 million. We now have 16 hospitals in Pennsylvania. We also acquired assets of MetroSouth Medical Center in Blue Island, Illinois, our eight hospitals in United States. This 333 bed hospital is trailing revenue of approximately $160 million in the mid single digit margin. Purchase price of approximately 25% in trailing revenue. We have a definitive agreement to purchase 100 bed hospitals in York, Pennsylvania with approximately $115 million in trailing revenue in low single digit margin. We expect it will close early in the third quarter. We continue to be very selective with our acquisitions and we have a very strong pipeline. Our CMS in-patient core measures improved for the 20th consecutive quarter and 15th consecutive quarter for outpatient core measures. Both inpatient and outpatient core measures continue to be better than the national average. Our patient safety organization has completed Phase I of high liability initiative with regard to patient safety at Tim Power Hospitals. This initiative implements behaviors and practices to prevent error and harm as it used by other high-risk industries. The company is updating the guidance that was provided certainly in 2012, revenue for 2012 has been increased $100 million on both the low and high end of the range $12.8 million to $13.2 billion. We have also increased our adjusted EBITDA estimate by over $50 million; $1.970 billion to $2 billion. Income from operations have been revised to $3.85 to $4.10 per share, these increases reflect the favorable settlement recently announced by the government and good results for the quarter. Now I’d like to update you on the pending significant litigation investigation matters. First, the company did prevail a litigation Tenet Healthcare filed against it last April. The District Judge dismissed with prejudice, Tenet sued against the company Larry and me decided (inaudible) to bring the case. We are very pleased to put this distraction behind us. And the next key case is ongoing both parties filed motions for some judgment last month and the briefing will continue over the next couple of months. The judge did really against us on our motion to disqualify the governments and the realtors expert that there is a meaning to judge thinks that is correct and her conclusions. Just he will allow that testimony to be presented we are continuing to cooperate with the former justice (Inaudible) and loan investigations from the questions that have been raised by some of you, I think it's important to point out our view and belief that these matters to the extent they involve medical necessity for in patient admissions should be looked at as a group. This includes the investigation that we receive notes via the April 2011 subpoena through allocation in Indiana. The May 2011 (inaudible) Tennessee subpoena certain aspects of investigation were laid out and most likely the State of Texas Attorney General Investigation. Although these investigations are different facts raised at different patterns, for example Lutheran Hospital Indiana has never used permit information system. They are now, all the cases are linked together. At the end of the day, it will be in our best interest if all these matters are concluded and resolved at the same time. To achieve that objective, we have joined a motion with the federal government and relator in Indiana case to extend its stay, in that case for 180 days. As of yesterday, the judge approved the stay for 180 days. As noted in the court filing we've been cooperating with the investigation by producing a large volume of documents, making the witnesses available for interview and most recently by working together with the government to design and conduct a joint probe audit. The probe audit will involve a sample of medical recruits at a small number of hospitals. And the preclinical and physician reviews will be engaged to conduct these studies. We are currently working through the details, and I hope that the information from this probe audit will assist the government in determining next steps in these investigations. There are number of options that could follow that review. More investigations include interviews, our more record review and to the investigation or some sort of settlement. We’re providing this update to keep you advised of these investigations and cannot speculate on any potential outcome. As we said all along, this matter is dependent on the review of medical records, and it comes down to individual physician medical judgment. SEC continues to receive and send back and reproduce for the Department of Justice as does the Tennessee Attorney General class-action security cases in the shareholder derivative case are more than (inaudible) from the developments at this time. As always, our Board of Directors, Audit and Compliance Committee of the Board and our senior management team continue to be very focused on these matters. At this point, I’d like to turn the call over to Larry Cash to provide you with additional details of the first quarter 2012 financial results.
W. Larry Cash: Thank you, Wayne. Consolidated admissions increased 3.2% in the first quarter of 2012, adjusted admissions increased 8.1% for the same period. On a same-store, admissions decreased 2.3% same-store adjusted admissions increased 2.5% which is from the best improvements we have for several quarters. The quarter had some number of business days as the first quarter of 2011, even though we picked up an extra weekend it was leap year, minimizing the effect of seasonality. The leap day effect was approximately 70 percentage point benefit, and I want to highlight some of other specifics related to the decrease. Lack of (inaudible) 180 basis points; service closer to 20 basis points over (inaudible) and admissions 30 basis points and a increased competition from these services to see hospitals improving, a new hospital at one of our locations and also certain changes, physician relationships. Our same-store adjusted admission to increased 2.5% for the quarter one of the best adjusted admissions growth versus managed care, we continue to have strong outpatient equipment admissions grow of approximately 8%; and again hospitals of less than $1 million of revenue continued to lag the rest of the company. Net revenues for the first quarter were $3,297 million and increase of 7.6%. The BNA settlement and SSI/CMS recalculations were included in consolidated revenues, but not same store. On a same-store basis, net revenue increased 4.3% that compares to a restated 2011 over ‘10 of 3.8%. We had very strong same-store outpatient revenue growth of over 10%. Same-store net revenue per adjusted admission increased approximately 1.7% year-over-year. Our same-store Medicare case mix increased 1.8% for the quarter. Same-store surgery volume increased 3.2% with outpatient surgery of over 4% in the first quarter, continuing the trend established back in 2010, and fourth quarter. This increase is driven by very strong outpatient growth in many areas. In fact, our outpatient surgery procedures were up almost all classifications. Our same-store surgery case mix for quarter increased 1.1% for the quarter. Consolidated EBITDA almost $535 million for the first quarter versus $457 million, but increased approximately 17.2%. The industrywide budget neutrality settlement included expenses associated with the settlement. The SSI adjustment implemented by CMS, and reserved for some civil litigation cases were included in our consolidated EBITDA. Excluding these items, consolidated EBITDA would have been $4.78 or an increase of 4.5%. On a same-store basis, 476 paid professional, 0.4% increase versus an 8.4% comp in the first quarter of 2011. EBITDA margin for the first quarter consolidated basis was 16.2%, versus 15.5%, again these adjustments previously mentioned EBITDA margin would have been 14.9%, same-store EBITDA margin decreased two basis points for the quarter 15.5% versus 15.6%. Our consolidated operating expenses include an offset for HITECH incentives decreased 70 basis considering the revenue in the first quarter 2012; and 80 basis points benefit from HITECH was offset by 20 basis points decline in equity and earnings when consolidated with affiliates. Same-store operating expenses first quarter decreased 10 basis points compared to the same period year ago, and supplies improved 10 basis points offset by an increase in payroll benefits and their operating expenses. Total AR days were 56 at March 31, 2012 unchanged from December 31, 2011 up from 53 for March 2011. The allowance for doubtful accounts is $10,909,600 at the end of the quarter or 49.7% the allowance of doubtful accounts is already contractual allowance for sub pay was approximately 84% of the hospitals, sub pay receivables in March 31, 2012 unchanged from December 31, 2011. Our Community Health Systems has a favorable payer mix, for the quarter into March 31 net revenue by payer source on a consolidated basis about to change in bad debt reporting was as follows: Medicare 26.6%, Medicaid 8.5%, Managed Care and other 51.5%, and self-pay 13.4%. Please note this breakdown excludes the BNA settlement and the SSI adjustments. I’d expect 2012 Managed Care pricing to increase 5% or 7%, while we’ve been able to maintain stable pricing – make sure companies are not focused on longer-term contracts. Medicaid reductions for 2012 versus 2011 was approximately 3%, it is the current estimate. Cash flow from operations for the first quarter was 187 flat with 2011, two day accounts receivable, actually three-day accounts receivable improvement from the first quarter of 2011, and we had a increase in accounts receivable due to recent acquisitions like 2011 and early 2012 as well as the timing of the Medicaid payment that we discussed last quarter. We also reported the receivables for HITECH and the BNA settlement and these receivable should be collected in subsequent quarter. On a liability side of the balance sheet, the payroll liabilities decreased as a resulted in the first quarter comp payments and also decrease in payroll taxes payable. Additionally, our 401(K) match we made in the second quarter this year was made in the first quarter last year. Our 2012 guidance, net cash provided by operating and activities ranges from 200 million to 1 billion, 300 million unchanged. Since February, the cash payment of the government severance is expected by June 30, and it could be delayed (inaudible) interest after June 30. Total capital expenditures for the quarter just ended $185 million or 5.6% of net revenue, capital expenditures for replacement hospital was approximately $41 million or 1.2%. Our CapEx guidance for 2012 is from $800 million to $900 million, and includes replacement spending of $170 million or 1.3% of revenues. Our balance sheet cash was $129 million at 31, 2012 the company had available credit from (inaudible) approximately $700 million after outstanding letters of credit. Looking at the balance sheet at March 31, we had $1.1 billion of working capital and $15.8 billion in assets. Total outstanding debt in March 31 was $9.3 billion of which approximately 77% is fixed. Our debt to capitalization at quarter end was 79%. At the end of March, we reported a $4.15 billion in interest swap agreements. During the quarter, we extended approximately $1.6 billion of our term loan B to January 2017; and a lot more plus treated an increase of 125 basis points. We announced an additional $1 billion senior notes offering for 8% coupon due to 2019. The proceeds were used to tender $850 million of our high yield bonds and additional cash used for general purposes and cost of the transaction. We recorded loss on early extinguishment of this debt of approximately $63 million or $39 million after tax. This represented a loss of $0.44 per share in the first quarter. Additionally, during the quarter, we replaced $750 million revolver with a new $750 million revolver with an October 25, 2016, maturity. We also issued a new $750 million term loan with the same maturity, and the proceeds from the term loan A were used to repay the term 2014 term loan B, both revolver term loan accrue interest at LIBOR plus 250 basis points, but we also completed a $300 million A/R securitization in the first quarter. I'd like to highlight several items as it relates to guidance. In the first quarter, our equity and earnings of unconsolidated facilities decreased 6 million. In the first quarter, we recognized about $26 million in HITECH incentives, all Medicaid-related for company hospitals and primary Medicaid for some of the company’s support positions, this is the first quarter that we recognized any HITECH for physicians. Associated extensions at HITECH were approximately $12.7 million for quarter and included $6.1 million in depreciation. We expect the second quarter HITECH to be approximately 30% lower than the first quarter. And we maintain our 2012 related guidance. Our bad debt as a percentage of operating revenue increased approximately 100 basis points versus the first quarter 2011. Our collection results through the first quarter of 2012 were not as strong as we reported in the first quarter of 2011, which was better than usual. The first quarter 2011 bad debt increased, reduced EBITDA, and margin growth. And in the first quarter our pro forma provider tax program has been approved. We’re still waiting on CMS approval for programs in West Virginia, Indiana, as well as extension in California. In the first quarter of 2011 we had approved Pennsylvania provider tax program. Our EPS for first quarter, adjusted for DNA, SSR adjustment reserve on specifics of our legal matters was $0.91 versus consensus of 87, is described in our 5 and 4, earnings release slabs. We've increased our annual 2012 revenue EBITDA EPS guidance to reflect these adjustments as well as our strong performance in the first quarter. (inaudible).
W. Larry Cash: Let me correct one thing that I may have missed on the first part and I was giving the update on investigation. And I was talking about, I think it was in the early where as talking about people who are receiving documents, I may visit the Tennessee Attorney General, I meant to say the Texas Attorney General.
Wayne T. Smith: Not a correction. Our results for the first quarter of 2012, an indication of the strong start of the year with solid financial operating performance, we continue to show strong same store top line growth of 4.3% versus year-ago. We were especially encouraged by volumes which show more favorable year-over-year trends than we experienced in 2011. We continue to focus on fundamentals of our business and believe are prudent succession in recruiting physicians and other healthcare practitioners, improving operational efficiencies, enhancing essential healthcare services and careful deployment of our capital. We continue to support our long-term growth strategies. So with that I’ll now open the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of Adam Feinstein with Barclays. Your line is open.
Adam Feinstein – Barclays capital: Thank you. Good morning guys and Wayne I liked your patience to cover modern healthcare this week.
Wayne T. Smith: Thank you, Adam.
Adam Feinstein – Barclays capital: I mean this is a starting point, and you talk about the improving volumes into the quarter maybe can you just provide similar clarity in terms of what you guys have been doing to get the volumes back, it seems like it’s working so just wanted to – just get some clarity in terms of what you guys are doing and then just the outlook going forward there?
Wayne T. Smith: Yeah, I think there is no question that after we were came under significant scrutiny that we overreacted, we very quickly might have changed, introduced in entire new system, we where not as deliberate as we could have been or should have been in terms of our process and education and training. So we have corrected that over the last 3 to 6 months and I think are you now beginning to see the result of that. So anyone else I think in this same circumstances would have reacted very strongly, as you all know we are strong major group. So when we decide to do something we do it fairly quickly, we just do it very effectively to start with….
W. Larry Cash: I would just add, we didn’t have any changes in one day medical mission through short stay in patient surgery because we wanted to see the difference, it was pretty close to your goal and we would expect that to hope that will be the case going forward.
Adam Feinstein – Barclays capital: Okay, great and then a quick follow up if I may, so just on the physician integration yeah obviously a big area of interest and comes up on every call may be just give us an update in terms of you guys have bought some high profile physician practices, and just you know how some of that integration has been going and just in terms of as you think about future opportunities there too?
Wayne T. Smith: Yeah, we’ve been thinking about this for long time as you back, you referred over the last two years say that we think there is two or things that are really important, particularly if the healthcare reform goes forward. One is infrastructure, well I mean the infrastructure is heading the resources in the services in particular area. The other is, demonstrating quality and as you can see from our core majors and other quality standards our quality is at the top of the mark. It’s better than national averages, better than most of our competitors results. And, so that’s one piece out of this, integration piece of it in terms of having infrastructure. As you know we required a number of large physician practices over the last couple of years. I have historically been using the Spokane and Rockwood clinic which as about a 130 physicians, and two or three, four locations. All that is going extremely well. We are seeing and continue to make good progress in terms of grading our physicians and our facilities together and working together as a unit. This doesn’t mean that we think kind of a care organizations or end all be all we will be prepared for whatever might happen when I think I said earlier it’s difficult for providers to take risk and they have to think carefully about the risk side of this. We don't really employ actuaries, but I think we escape and we are as well positioned to do that going forward as anybody. We just don't think we have to get out, and get too far ahead of the curve here depending on what's happen. So I think we make good progress and you’ll continue to see, we’ll continue to report on it, and all of our other markets, a lot of other markets continue to develop. One other thing I would say is that, this is not as critical in our markets where we’re the sole hospitals, in 80 of our markets there were no hospitals. We already have this and we really have the facilities. We already had the resources in there. So it's not as critical as it is in our large market. Again that's the reason (inaudible) and with regard a couple of fairly large practices (inaudible) and I’m sorry, in Scranton, for the same reason. Well ahead that set up in Indiana, I think we lose our network. Larry, anything to add?
W. Larry Cash: Yeah, I just had from a financial side of perspective. It's a little challenging on same-store margin, for instance I think we probably out to work 40 basis points in payroll benefits, some of that’s benefit issue, but it's corrected itself out, but primarily by acquiring physicians regarding payroll work, it's the part of the axis of that probably down 20 basis. So that's same-store – back to our same-store margin. And also if you go back 10, 15 years ago your had competition for Medco and – partners in fact were all companies with regard there are quite – building about physicians sort of reasonable price so they can work this much better, today than it was back in the mid-90s from these companies since is not such company (inaudible) now for the most part to create challenges, I think the prices are much more reasonable and (inaudible).
Wayne T. Smith: And physicians are lot more receptive today.
Adam Feinstein – Barclays capital: Okay, great. All right, thank you very much.
Operator: Your next question comes from A.J. Rice with UBS. Your line is open.
A.J. Rice – UBS: Hi, everybody. Couple of questions, if I could ask. First of all just a follow-up maybe on the comments about physicians, I know you’ve seen acceleration, you are reporting – in your slides I saw acceleration in physicians added this quarter versus a year ago significant I’d say. Is that all the physician practices you’ve got or is that in addition to – with recruiting?
W. Larry Cash: That’s people who have joined the medical staffs. And clearly when we do acquisitions we don’t have an increase in numbers of physician who have joined medical staffs, but I don't think we report those acquired physicians later…
Wayne T. Smith: If they are already on the medical staff, they wouldn’t be (inaudible) but there could be if you require it 90 doctors somewhere it could been 10 or 20 of a group or maybe we are not that would pick backup. We were pretty good year over year actually the first quarter 2011 was down just a little bit for the slow start, we are well over 300, if you go back to 2010, but we are off to a good start.
A.J. Rice – UBS: Okay. And I know you’re 77% debt fixed at this point and you got little range in your guidance there. Maybe comment on where you really think equilibrium is or you’ve given your current capital structure on the amount of things versus floating, and you’ve done a lot in the restructuring of the balance sheet on the debt side in the last six to nine months. Can you comment on priority to what else you might be thinking about doing?
Wayne T. Smith: Yeah, I think the range is 77 to 72 and we are at 77 if we continue – probably would go down and saw that range that’s 40 years so it could below somewhere around 70% or maybe little less by the end of year, there is still some more swaps that will flow out this year and again next year. We’re pretty comfortable when we set that guidance out and would probably go a little bit lower next year and we decided to do that. We are watching this (inaudible) interest rates are now it’s pretty attractive to other rate flow that we are contemplate and doing some swaps later in the year, which will be a little bit more expensive but right now we are comfortable we are and also into the second quarter. We’ve done a lot. We started off at $6 billion of debt with term loans. Back in 2007 it was down about $2.2 billion that’s what we’ve done, and I think (Inaudible) for now an extra 18 months or so, and we’ve got some idea with how to go about there. The bonds were about $3 billion, we’re down little over $1billion and have the step down coming to the summer and for [Rachel] attractive we would probably consider also doing that. So, it is on our math to do something, probably looking forward into the year, it is not in our guidance. The bond is probably a favorable rate and we could spend a little bit money for doing some term-loan activity, but I think we’re pretty confident that we can manage that pretty well.
A.J. Rice – UBS: Okay and then just a last point of clarification, maybe with your comments Wayne about the – I know there’s probably not a logic is staying there, but are the real case, and you mentioned if you can get all these cases sort of consolidated in a sense of doing a settlement, I guess I’m not clear, are you saying that with what you’re doing with the government now, you are at the point where all those desperate cases that are sort of looking at the same thing in different ways. They are now together and in which you’re doing with the government we will pay the way for a settlement or is that still in front of you to pull that together.
Wayne T. Smith: All that is still in front of us, but when we start – as someone said we’re now cooperating. We have clearly been cooperating all along through this process, and this is a moment in the right direction. We’re now getting down to a study or a probe, which we said all along this was about physician judgment and it had to get to medical records, but you really can’t speculate, as you know, when it comes to government, you can’t speculate what might happen here or what the conclusion is, you can’t speculate that this is accelerating or decelerating. All I can tell you is that we still feel the same we did as we started this. We think it’s about physician judgment. And as you can see from this that’s a clear direction here.
A.J. Rice – UBS: Right, okay thanks a lot.
Operator: Your next question comes from the line of Gary Taylor with Citigroup. Your line is open
Gary Taylor – Citigroup: Hi guys good morning. Larry, I missed one thing you said you were talking about the 41K match in the first quarter of 11 and I missed where you said it was?
W. Larry Cash: I think in the lot of this first quarter to the second quarter 2012
Gary Taylor – Citigroup: Okay.
W. Larry Cash: Because that – you are about $187 million which we were a year ago receivables got better in the first quarter 11, this year it got worse and we ended up $1.260 billion and I think we’ll have a lot of banter, cash flow or something would have thanks I think we will have fine year for cash flow.
Gary Taylor – Citigroup: And this is only a cash flow as you would have a EPS this year including.
W. Larry Cash: That’s correct. Just – one of the best time to make payments is and some times information comes faster than others it came a little slower this year usually it’s been in a second quarter last year, we made the 41K payment in the first quarter.
Gary Taylor – Citigroup: Got it. And on your replacement hospital CapEx am I still like that $170 million numbers going to about $90 million next year is that still about right.
W. Larry Cash: We’ve not put out a number there, actually the sound springs which is one of those open in May and barge still opening probably late November and the Nobel price is around September so the three ward now today we have a pending CON effort down in Alabama and if that happens we’ll need to put out a spending plan for that but I think these three hospitals will be completed and that we will in New York current stocks being in money but it probably will be very well money in 2013.
Gary Taylor – Citigroup: Okay, so it’s likely that number is lower.
W. Larry Cash: Yeah.
Gary Taylor – Citigroup: I guess depends on the…
W. Larry Cash: Should be much lower than 170.
Gary Taylor – Citigroup: Okay.
W. Larry Cash: Its sort of depends on how the process goes probably on what we’re taxing.
Gary Taylor – Citigroup: Okay. And then my last question. I guess, Wayne, I was just trying to follow what you’re saying about that so this audit probe or probe audit. This is being, I guess run, I guess my understanding was Chicago OIG was kind of taking the lead on this nationally and is that where this I guess this cooperation on putting because of this proaudit is coming out. Are you saying that’s specifically related to the Indiana case?
Wayne T. Smith: No, I am starting to related – it’s related to the all of these cases, which offset. And as you heard me say this is relatively small number of hospitals, but this is OIG from (inaudible) collectively in Washington, not necessarily in particular state, and look it’s always a positive if you can arrange them, put all these cases together and then hopefully that’s why we are hating all these in terms of how to sell comes together.
Gary Taylor – Citigroup: I agree, that makes sense and then just. I guess just my last question is to make sure I understand it’s the 180 extension in Indiana, I guess, our viewers, we’ve seen so many cases over the years when the government just extends and extends, and extends and extends. So our view is to most likely outcome what they where going to ask for an extension. So are you implying that that was something outside of kind of a routine extension, that it’s related to some new movement on corporation or this (inaudible) anything or…
Wayne T. Smith: No, I think Gary we simply we’ve said this all alone. We have to really; this is about position judgment and that records until we get to that. You really can’t make a determination here. So we are now probably working to developers probe audit. So the question is in this particular one has been extended two or three times now, by the way the government decided not to intervene in this case before. This started in 2006 before we were even in Indiana. So here is my short long of all this is I’ve said A.J. I would be very cautious about speculating on any of this right now. You can’t conclude very much other than the fact that we are cooperating. We have a probe audit that we're working on in process. On a relatively smaller number of hospitals and we’ll move forward from here. And we continue and we had all long corporate.
W. Larry Cash: And thanks, this can happen and still might move.
Wayne T. Smith: We’ll disclose any time, if it’s of any significance.
Gary Taylor – Citigroup: Of course. I guess my last fallow-up, if this is speculating and then tell me, but just in term – even on timing if the two I guess the one point for the way these things play out, they often take few years. And is there anything that gives you a sense that that may be the timing may not be as long to get there or that just give an idea?
W. Larry Cash: I wouldn't speculate on that.
Gary Taylor – Citigroup: Okay. I just want to make sure, thank you.
Wayne T. Smith: Good question, thanks Gary.
W. Larry Cash: Gary, just one point, there was a lot of concerns in the self-started, when they would acquisitions, the improvement to do acquisitions, we now got volume growth of back to more reasonable levels, but certainly consider real nature of hospitals. We've done a very good job on refinancing that activity. So I think the company's operating right now trying – during all this timeframe that's just equal to focus on the side of the thing.
Wayne T. Smith: I know some of our detractors we have not missed a quarter.
Gary Taylor – Citigroup: Okay, fair enough. Thanks.
Operator: This concludes today's Q&A session; I would now like to turn the call back over to Mr. Smith for any closing remarks.
Wayne T. Smith: Community Health Systems as a proven track record with experience and financial resources to support and keep our hospitals viable in the local committee. We remained confident in our ability to execute our strategy in today’s dynamic environment and continue to deliver favorable results. We want to specifically thank our Management Team and Staff, Hospital Executive Officers, Chief Financial Officers and Chief Nursing Officers and Division Operator for their continued support and operating efficiencies. Once again, if you have any questions you can reach us at Larry Cash, 615-465-7000. Thank you.